Operator: Good morning, and welcome to the Silvercrest Asset Management Group Inc. Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. Before we begin, let me remind you that during today's call, certain statements made regarding our future performance are forward- looking statements. They are based on current expectations and projections, which are subject to a number of risks and uncertainties, and many factors could cause actual results to differ materially from the statements that are made. Those factors are disclosed in our filings with the SEC under the caption Risk Factors. For all such forward-looking statements, we claim the protections provided by the Litigation Reform Act of 1995. All forward-looking statements made on this call are made as of the date hereof, and Silvercrest assumes no obligation to update them. I would like now to turn the conference over to Rick Hough, Chairman and CEO of Silvercrest. Please go ahead.
Richard R. Hough: Great. Thank you, and thank you for joining us for the second quarter of 2025 update. Our discretionary assets under management increased $1 billion during the second quarter, primarily due to strong markets. While our net flows were negative, Silvercrest added $80 million in organic new client accounts, and we've added $0.5 billion in new client accounts during the first half of 2025. That is on pace to be one of the stronger levels of organic new client flows over the past several years. Silvercrest has added approximately $2 billion in organic new client accounts over the past 4 quarters. Our discretionary AUM, which drives the revenue, now stands at $23.7 billion, which is a 4.4% sequential quarterly increase and an increase of 9.7% year-over-year. Our total AUM at the end of the second quarter hit a new high for the firm at $36.7 billion. Barring short-term market volatility, the increase in AUM bodes well for future revenue as Silvercrest primarily bills quarterly in advance. Silvercrest's strategic investments continue to promote growth and our earnings and adjusted EBITDA reflect a concerted effort to invest capital to support our long-term strategic priorities. We remain highly optimistic about securing more significant organic flows over the course of 2025 and 2026, as our investments bear fruit. Our strategic initiatives highlight Silvercrest in both the institutional and wealth markets. The firm continues to invest in talent across the firm to drive new growth and successfully transition the business toward the next generation of professionals. Our new business pipeline remains robust. As previously discussed, Silvercrest will continue to monitor and adjust our interim compensation ratio to match important investments in the business as long as we have compelling opportunities to grow the firm and build our return on invested capital. We completed a $12 million stock repurchase program at the beginning of the second quarter. And as a result, we announced a new buyback program of $25 million on May 23 of this year. Our strong balance sheet supports ongoing capital returns as well as our growth initiatives. We will continue to look for opportunities to return capital to or accrete shareholders, especially as we invest in the business. On July 30, the company's Board of Directors approved an increase of 5% to the company's quarterly dividend, from $0.20 per share of Class A common stock to $0.21 per share of Class A common stock. The dividend will be paid on or about September 19 to stockholders of record as of the close of business on September 12. We'll take questions after we get through the financials, which I will have Scott Gerard, our CFO, address now. Thank you.
Scott Andrew Gerard: Great. Thanks, Rick. As disclosed in our earnings release for the second quarter, discretionary AUM as of June 30 of this year was $23.7 billion and total AUM as of the same period was $36.7 billion. Revenue for the quarter was $30.7 million, and reported consolidated net income for the quarter was $3.1 million. Revenue for the quarter decreased year-over-year by $0.3 million or 1%, primarily driven by a decrease in the average annual management fee rate due to the mix in AUM. Expenses for the quarter increased year-over-year by $0.9 million or 3.7%, primarily driven by increased compensation and benefits expense and G&A expenses. Compensation and benefits for the quarter increased year-over-year by $0.3 million or 1.7%, primarily due to increases in salaries and benefits expenses, primarily as a result of merit-based increases and new hires, which drove the higher recurring cash compensation ratio. Partially offsetting the salary increases were decreases in the accrual for bonuses and equity-based comp. G&A expenses increased by $0.6 million or approximately 8.8%, primarily due to increases in professional fees, occupancy and related expenses, marketing and advertising, shareholder expenses and travel and entertainment expenses. Reported net income attributable to Silvercrest or to Class A shareholders for the second quarter was approximately $1.9 million or $0.21 per basic and diluted Class A share. Adjusted EBITDA, which we define as EBITDA without giving effect to equity-based compensation expense and noncore and nonrecurring items, was approximately $5.7 million or 18.7% of revenue for the quarter. Adjusted net income, which we define as net income without giving effect to noncore and nonrecurring items and income tax expense assuming a corporate rate of 26%, was approximately $3.3 million for the quarter or $0.26 and $0.25 per adjusted basic and diluted earnings per share, respectively. Adjusted earnings per share is equal to adjusted net income divided by the actual Class A and Class B shares outstanding as of the end of the reporting period for basic adjusted EPS, and to the extent dilutive, we add unvested restricted stock units and nonqualified stock options to the total shares outstanding to compute diluted adjusted EPS. Looking at the first half of the year, revenue increased year-over-year by $0.8 million or 1.3%, primarily driven by market appreciation and partially offset by net client outflows. Expenses for the first half increased year-over-year by $3.1 million or 6.3%, primarily driven by increased compensation and benefits expense and G&A expenses. Compensation and benefits expense for the first half increased year-over-year by $1.5 million or 4.2%, primarily, again, due to increases in salaries and benefits expense as a result of merit-based increases and new hires, partially offset by decreases in the accrual for bonuses and severance expense. G&A expenses increased by $1.6 million or approximately 11.6%, primarily due to increases in professional fees, occupancy and related expenses, shareholder costs, marketing costs and portfolio and systems expense. Reported net income attributable to Silvercrest or to Class A shareholders for the first half was approximately $4.4 million or $0.47 per basic and diluted Class A share. Adjusted EBITDA was approximately $12.2 million or 19.7% of revenue for the first half. Adjusted net income was approximately $7.2 million for the first half or $0.57 and $0.54 per adjusted basic and diluted EPS, respectively. Looking at the balance sheet, total assets were approximately $152.7 million as of June 30 of this year compared to $194.4 million as of the end of last year. Cash and cash equivalents were approximately $30 million as of June 30 compared to $68.6 million at the end of last year. There were no borrowings as of June 30 of this year. Total Class A stockholders' equity was approximately $64.6 million at June 30. We repurchased Class A shares totaling approximately $15.3 million during the second quarter. That concludes my remarks. I'll now turn the call over for Q&A.
Richard R. Hough: Thank you, Scott. We're ready to take questions at this time.
Operator: [Operator Instructions] Our first question comes from Sandy Mehta of Evaluate Research.
Sandy Mehta: Can you talk a little bit about the pipeline? You mentioned that you're optimistic in the second half and going forward. I understand that you're not giving hard numbers for the pipeline, but just talk in general about what you're seeing. And also, it was encouraging to see that -- I noticed that you included the Global Value Composite performance numbers in your performance update there, and the numbers look very good. So hopefully, that should lead to some inflows going forward.
Richard R. Hough: Sure. Let me address starting with that Global Value team since you raised that last, and then I'll get into the pipeline because as you know, we've been measuring or struggling exactly how to measure the pipeline compared to how we've done in the past. First of all, we hired the team to run the Global Value equity strategy about a year ago. We had some building out of that team to do. We've added analysts. We've added trading. We had to set up, obviously, relationships for those things, custody. We've added professionals for marketing support. And we are currently in process across the firm of centralizing institutional distribution for better coordination. And given the interest that we have, globally, we are in the process of hiring an international business development professional. So a lot has happened in a year. And of course, some of these expenses, along with other investments we've made are what's hitting EBITDA and earnings as I have very clearly stated we would be doing for some time. I felt that the 6-month period for us to get the large seed investor in that strategy was fairly quick. And I think there's a lot more behind that. We certainly are having a lot of discussions. We are not measuring very much in the pipeline for that capability because of the nature of where we are with conversations. So if I give you a pipeline number, I will convey that, that is what we can very clearly measure for most of our strategies, but does not include the softer things that comprise a much larger pipeline. The pipeline that we can very clearly measure, which is to say, invite-only capabilities, finals or semifinals and 6-month actionable pipeline is about $200 million. That has doubled since the last quarter. But I can safely say that the pipeline is much, much larger than that in terms of what we think the possibilities are going to be over the next 1.5 years. And as you noted, the performance is excellent. Thank you, Sandy.
Sandy Mehta: I think you mentioned $15.3 million stock was bought back. Can you mention what the average price was or how many shares bought back? I noticed the share count for this quarter was down 4.4% year-over-year, which is encouraging to see.
Richard R. Hough: Yes. Well, so first of all, we've been able to put the money to work and purchase back our stock a lot faster than we had previously. We were much more aggressive in taking advantage of block trades. So we've already purchased, as you saw, $15.3 million. It took us much longer to do $12 million in the prior buyback. And so we have an approximate $10 million to go, and we'll see what that is. I don't have the average price. Safe to say we've been very happy at what we've been buying it back at. Scott, did we announce an average price? Or do you happen to have that?
Scott Andrew Gerard: We didn't announce it, but the average price is below where we are currently trading at.
Sandy Mehta: And just one final question. You mentioned returning capital or probably -- or perhaps accretive acquisitions. Anything on the horizon, anything that you're seeing different in terms of possible acquisitions or buying a team or hiring a team?
Richard R. Hough: We're always in conversations with different folks at different stages. And I really don't handicap that because deals aren't done until they're done at the last minute, right? Things can fall apart. So I hesitate to mention it. But we are active. The market remains expensive. As you might imagine, however, there are going to be firms with an ultra-high net worth audience that do business in a way that's compatible with us that really desires the kind of culture that we have, very special one at Silvercrest. And that finally may be in a key strategic place for the firm and where we have visibility to organically grow the business. So those are all the pieces that really need to come together, Sandy. What I have said, to your point about the use of capital, look, we increased the dividend again. That's one way of returning value and to pay our shareholders on an ongoing basis. But I have also said that I will do buybacks if the price is compelling, which is equivalent to doing an acquisition of a company I know very well and feel very strongly in our ability to grow. So those are the levers, but I'm not going to comment more on the likelihood of M&A. Just suffice it to say that we're always looking at opportunities. With regards to lift-outs, those 2 have potential. And I think actually the possibility for that has increased a bit compared to, let's just say, the prior 5 years, which is an interesting development. Final point on the average price. Since we are still in the market, there's only so much I want to reveal about our strategy there.
Operator: [Operator Instructions] Our next question comes from Christopher Marinac of Janney Montgomery Scott.
Christopher William Marinac: I wanted to ask a little bit about the sort of -- I think it's been a multi-quarter kind of revenue shift in terms of mix. So as we look at revenue maybe on 1 basis point of AUM, is that shift kind of over? Or is it going to continue to evolve? And then also, just curious on your thought about how the next few quarters look as far as sort of getting more operating leverage through the income statement?
Richard R. Hough: Yes. Okay. So with regards to the AUM shift, I mean, the mix shift, it's mostly driven by institutional mandates, which have a lower AUM and/or OCIO, not wealth. Where we are in the wealth market has been pretty solid and quite sticky. So if we make more progress, which I expect in the institutional market, especially with new capabilities, you can expect to see the basis point per AUM continue to come down a bit. On the other hand, it's, as you know, a nicely leveraged business. It has a lot of operating leverage once you really get it going. So I really don't think it's a hugely material issue. If anything, it's to the benefit of the firm long term once we get to scale. After all, we've done a lot of hirings, and we need the AUM flows to justify that. Operating leverage is going to take time. I've talked about our strategy through 2026. We still have hires to go. We have initiatives in right now alone in Atlanta, in Dublin. So we have access to the EU. We're working on a trust. We've already started our process with the Central Bank of Ireland that allows us to directly market. Very important to us. We have Singapore. We've got building out the institutional team. So you start adding that up, and it's quite -- we've added to family office services. And we also have transitions happening at the company. So it's going to take a while for us to get the operating leverage. But once the flows -- well, if they continue, which has been a pretty good pace, and the hiring will eventually slow, we should see significant operating leverage on par with what we used to have at the firm before we started making these investments.
Christopher William Marinac: Got it. Great. So timing is still a factor in this, but again, it's...
Richard R. Hough: Yes, yes, yes. We're very pleased at the progress we've made. We've only just hired some of these folks, including some of the marketing organization. A lot can change quickly, but we do have a lot of initiatives. So keep looking through this year.
Christopher William Marinac: Understood. And the same is going to go for the G&A expense ratio, the comp ratio and then EBITDA margin, it's all kind of part of the same point you're making?
Richard R. Hough: Yes, they all are related. Obviously, there's more travel for marketing right now, and that's unrelated to revenue. It's revenue yet to come. So that pushes up G&A. We have identified some savings in G&A that will help a bit, and that will be coming across in a couple of quarters. But that activity goes right in line with the heavy marketing that we're doing to organically grow the company.
Christopher William Marinac: Great. And last question for me, just to get a little more granular on the OCIO business. Is that pipeline as good as you wanted it to be? Is it going to contribute more to the overall mix? I know it has crossed through certain size barriers a quarter or 2 ago.
Richard R. Hough: Yes. That pipeline has come down a bit. It could be stronger. It has been stronger. So I would like to see that increased. We have finals coming up as part of the pipeline for $100 million in this next quarter. I think I had mentioned previously the OCIO team actually won a family office of $300 million a couple of quarters ago that's now -- so there's going to be progress there. The $100 million mandate, were we to win it, right, knock wood, you never know would be a nice 5% or so increase. But that pipeline has been stronger, and we're assiduously working to build it.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Rick Hough for any closing remarks.
Richard R. Hough: Thank you very much. Thanks for joining us for our second quarter call. As we've mentioned, there's a tremendous number of initiatives at the firm in order to continue building a world-class enterprise and to gather organic flows. We've got a pretty good new client track record over the past 4 quarters, and we hope to continue that progress to show these investments are paying off for our investors. Thank you so much for joining us, and look forward to talking to everyone at the end of next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.